Operator: Good morning. My name is Iola [ph] and I will be your conference operator today. At this time, I will like to welcome everyone to the Karyopharm Therapeutics First Quarter and 2018 Financial Results Conference Call. There will be a question-and-answer session to follow. Please be advised that this call is being recorded at the company's request. I would now like to turn the call over to Mr. Christopher Primiano, Chief Business Officer of Karyopharm Therapeutics.
Christopher Primiano: Thank you, Iola and thank you all for joining us on today's conference call to discuss Karyopharm's first quarter 2018 financial results. This is Chris Primiano and I am joined today by Dr. Michael Kauffman, Chief Executive Officer; Mr. Michael Falvey, Chief Financial Officer; Dr. Sharon Shacham, our Founder, ,President and Chief Scientific Officer; and Dr. Jatin Shah, Vice President of Clinical Development. On the call today, Michael Kauffman will make some introductory comments, then Mike Falvey will provide an overview of the first quarter 2018 financial results; Dr. Kauffman will then discuss our key upcoming milestones and provide some summary remarks. We will then open the up for questions for where Sharon, Jatin and I will also be available. Earlier this morning, we issued a press detailing Karyopharm's results for the first quarter 2018. The release is available on our website at karyopharm.com. Before we begin our formal comments, I'll remind you that various remarks we will make today constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. These include statements about our future expectations, clinical developments, and regulatory matters, and time lines, the potential success of our product candidates, financial projections, and our plans and prospects. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the risk factors section of our annual report on Form 10-K for the year ended December 31st, 2017, which was filed with the SEC on March 15th, 2018, and any other filings we may make with the SEC including our quarterly report on Form 10-Q for the quarter ended March 31st, 2018, which we expect to file later today. Any forward-looking statements represent our views as of today only and should not be relied upon as representing our views as of any subsequent date. While we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. Therefore, you should not rely on these forward-looking statements as presenting our views as of any date subsequent to today. In addition, please note that any references we make to clinical trial data during today's discussion refer to interim unaudited site data unless otherwise specified. I'll now turn the call over to Dr. Michael Kauffman, Chief Executive Officer of Karyopharm.
Michael Kauffman: Thank you, Chris and good morning everyone. Thank you for joining us on today's call. Last week we reported exciting topline results from Part 2 of the Phase 2b STORM study evaluating selinexor in 122 patients with heavily pretreated penta-refractory myeloma. For the STORM study's primary objective oral selinexor achieved 25.4% overall response rate assessed by the Independent Review Committee. This included two stringent complete responses and 29 partial or very good partial response. One of the stringent complete responses was with negative for minimal residual disease or MRV which is particularly significant in this penta-refractory population. A median duration of response. A secondary objective was 4.4 months. Responding patients had a significantly prolonged overall survival as compared with non-responders. To our knowledge, this was the first large study in patients with penta-refractory myeloma and these results are an important advance for myeloma patients, their families, and for their physicians and caregivers, we provide treatment for this difficult disease. Oral selinexor demonstrated a predictable and manageable safety tolerability profile consistent with that previously reported Part 1 of the STORM study and from other selinexor studies. No new safety signals were identified. When occurring adverse effects were often reversible, transient, and manageable with dose modification and/or standard supportive care. We look forward to submitting a detailed STORM study results for presentation at an upcoming medical oncology meeting. As you may know, selinexor was recently granted fast-track designation by the FDA for the penta-refractory population evaluated in the STORM study. We believe this is an acknowledgment from the FDA that the patient population at STORM represents a true unmet medical need where new therapies remain critical. As a reminder patients are strong with penta-refractory myeloma, a disease that progressed after receiving some of the best anti-cancer agents available in all of oncology, including Revlimid, Pomalyst, Kyprolis, Velcade alkylating agents as well as Darzalex. Moreover, we require that all patients entering this study have myeloma that is refractory to their last immune drugs, or last proteasome inhibitor, and Darzalex as well as progressing on their most recent therapy indicating that their disease is unlikely to benefit from retreatment with these classes of anti-myeloma drugs. Looking ahead, we plan to submit a new drug application to the FDA during the second half of 2018 with a request for accelerated approval for oral selinexor and new treatments for patients with penta-refractory multiple myeloma. We also plan to submit a marketing authorization application to the European Medicines Agency in early 2019 with a request for conditional approval for selinexor in the same indication. On the commercial front, we are actively designing and building our infrastructure and preparing our first potential selinexor product launch in the United States. In parallel, we are exploring strategic commercial collaborations with potential partners in Europe and other key markets. Importantly, the activity in the STORM patient population further support the ongoing pivotal randomized Phase 3 BOSTON study where selinexor is being evaluated in earlier lines of therapy. BOSTON evaluates the oral sel-dex regimen in combination with once-weekly Velcade compared to standard twice weekly vel-dex alone in patients with myeloma who have had one to three prior lines of therapy. We expect to complete enrollment in BOSTON this year and report topline data in 2019. Assuming a positive outcome, we believe the data from the BOSTON study will support a full approval for sel-dex in combination with Velcade as a second line treatment for myeloma. In addition the STORM data support the variety of selinexor combinations being evaluating the ongoing STOMP study in patients with relapsed or newly diagnosed myeloma. I also want to mention that we are on track to report topline results and another important unmet medical need population by the end of this year. Patients with relapse refractory Diffuse Large B-Cell Lymphoma who are currently being evaluated in our ongoing SADAL study. If the final result of the SADAL study are consistent with the interim data presented last year at the European Hematology Association Annual Meeting, we plan to file a request for accelerated approval in the first half of 2019 for this indication. Following the Storm data announcement last week, we successfully completed an underwritten public offering which secured approximately $155 million in gross proceeds to Karyopharm. We are grateful for the continued support of our existing holders and would also like to extend a sincere thank you and welcome to our newest shareholders. With that, I'll turn the call over to Mike.
Michael Falvey: Thank you, Michael. Since we issued a press release earlier today outlining our full financial results, I'll just review our first quarter 2018 financial highlights. As of March 31st, 2018 cash, cash equivalents and investments including restricted cash totaled $141.5 million compared to $176.4 million as of December 31st, 2017. As Michael mentioned, on May 7th, 2018, Karyopharm completed an underwritten public offering of just over 10.5 million shares of its common stock at a price for the public of $14.75 per share. The gross proceeds to Karyopharm from the offering were $155.3 million and after deducting the underwriting discounts and commissions and other estimated operating expenses, our net proceeds were $145.6 million. For the quarter ended March 31st, 2018, Karyopharm recognized $10 million in revenue compared to $0.1 million for the three months ended March 31st, 2017. The increase in revenue was the result of the upfront payment received from the asset sale of KPT-350 to Biogen in January of 2018. For the first quarter 2018, research and development expense was $41.3 million compared to $24.1 million for the same period in 2017. General and administrative expenses for the first quarter of 2018 were $7.6 million compared to $6.3 million for the same period in 2017. Comparing the first quarter of 2018 to the prior quarter, the fourth quarter of 2017, R&D expense increased by $6.5 million, reflecting increased spending on our late-stage clinical trials. For the first quarter of 2018, we reported a net loss of $38.5 million or $0.78 per share compared to a net loss of $29.9 million or $0.71 per share for the first quarter of 2017. That loss includes stock-based compensation expense of $4.2 million and $5.9 million for the first quarters of 2018 and 2017, respectively. Karyopharm expects its operating cash burn including research and development and general administrative expenses for the year ended December 31st, 2018 to be in the range of $175 million to $185 million. Based on our current operating plans, we expect that our existing cash, cash equivalents and investments will be sufficient to fund our operations due to the third quarter of 2019. And importantly, this runway takes us through the planned launch of selinexor in the first half of next year. These plans include the continuous clinical development of selinexor and our lead indications submitting an NDA during the second half of 2018 and preparing the commercial infrastructure including hiring new salesforce to support the potential launch of selinexor in the United States. I'll now turn the call back over to Michael Kauffman for including remarks. Michael?
Michael Kauffman: Thank you, Mike. We are very excited about the team's research and we continue to believe that 2018 will be a transformational year for Karyopharm. We have several upcoming milestones that I'd like to highlight. During the second half the year, we plan to submit an NDA for oral selinexor as a new treatment for patients with penta-refractory myeloma. Following that, we plan to submit to the EMEA for conditional approval in the same indication. For our SADAL study in DLBCL, we expect to report topline data by the end of this year, which can support a regulatory filing in 2019. For the pivotal Phase 3 BOSTON study, we expect to complete enrollment this year with topline data expected in 2019 and regulatory filings in 2020. And the STOMP study combination in myeloma, we will continue to update in appropriate medical meetings that we look forward to initiating a new arm of STOMP evaluating the all oral regimen of selinexor plus rev-dex in patients with newly diagnosed myeloma. Beyond hematologic malignancies, the ongoing SEAL and SIENDO Phase 3 trials in liposarcoma and endometrial cancer respectively continue to advance. In closing, I just like to reiterate on behalf of the entire Karyopharm team that we are extremely enthusiastic about the data reported last week from the STORM study. We believe these data are great news for all of our stakeholders including the patients battling myeloma, their families, physicians and caregivers, the foundations that have supported them believe in us from the beginning, as well as the many new investors that recently purchased shares. We have evolved from an entrepreneur and an idea into a well-integrated team of close to 200 people all working passionately to prepare the regulatory submissions for selinexor in our first potential indications penta-refractory multiple myeloma. At Karyopharm, our mission since inception has been to advance the treatment of cancer through the discovery and development of novel oral therapies beginning with selinexor. We are very proud to be developing a first-in-class nuclear export inhibitor with the potential for activity across a number of hematologic and solid tumor malignance. As we look ahead, we will continue to foster innovation, courage, urgency, resilience, and energy at iCure [ph] culture and we are actively working to recruit and hire talented professionals to embody our ideals and lay the important groundwork for our future growth and commercial success. I will now turn the call over to the operator for questions. Operator?
Unidentified Analyst: Hi, good morning. This is Rick on for Brian, who's on a flight at the moment. Thanks for taking our questions. First off, could you please walk us through what preparations for commercialization are currently underway? And maybe speak to what you hope to accomplish in the coming months?
Michael Kauffman: Sure. So, we announced on our last earning call that we had hired three very seasoned VPs into our commercial organization; VP of Sales, VP of Marketing, and a VP of Market Access. What you'll see over the course of the rest of the year is that those three leaders together with Bill Hatfield, our Head of Commercial will be building out and blocking out our launch plans and starting to fill in the senior -- the rest of the senior positions in our commercial organization. And then also begin to do the work towards preparing for the launch. So, this includes preparing our marketing materials for the launch, which as you know, need to be submitted with our NDA. We'll start to build out our distribution channels. We'll hire an agency to help with our marketing campaigns. And then as we get into the fourth quarter, you'll see us taking steps like purchasing data to understand the markets deeper, building our CRM systems and really laying all of the -- our foundation that will lead to a full-fledged launch in the United States. But the one thing that will be missing to support that launch will be the hiring of the salesforce which we plan to pull the trigger on immediate -- probably about three months before the launch selinexor in the middle of next year.
Unidentified Analyst: Great. That's very helpful. Next I wanted to just maybe get your most recent thoughts on partnering and have these thoughts profit-off since you received the positive STORM data last week?
Christopher Primiano: Yes, hey this is Chris. So, give you a couple of the highlights on how we're thinking about partnering. So, I think it would be somewhat arbitrary to give a timing expectation around partnering, but I think it's probably more instructive to think about what does that collaboration look like and what kind of a partner are looking for. So, as you know, we recently at the -- towards the end of last year, established a collaboration with Ono Pharmaceuticals or some of that Asian territories and I think that's probably a good guideline for how you might see a collaboration come together for some of the ex-U.S. ex-Ono territories and you could expect to see something of a multiple of what you would see in that particular arrangement in terms of the upfront, the milestones, the cost sharing around clinical development expenses, and those types of things. But I think even more important than that is the kind of partner that we'd be looking for and obviously one of the key territories that we're discussing around an ex-U.S. Ono territory partner is experience in [Indiscernible] and solid tumors broadly and in particular with respect to the reimbursement landscape and the commercial landscape across Europe which is an increasingly complicated area in which to launch new products. And in addition to that, we're looking for someone who's really philosophically-aligned with us from the way that we view selinexor -- in the long-term development plan for selinexor. This is not as we've talked about many times that we would drug in myeloma and lymphoma that actually has a much longer and broader development plan behind it and we'd want someone who is philosophically-aligned with us on that perspective as well. So, that's how we're thinking about partnering.
Unidentified Analyst: Okay, got it. One more question if I can. How long do you expect the overall survival data in the STORM study to take to mature? Should we expect these data to be included into maybe a rolling NDA submission? And will we see the data at a medical meeting maybe later this year? Thank you. I'll hop back in the queue.
Michael Kauffman: Yes. So, it's a little hard to tell when the data will mature, but Part 1 is already published as you're aware and importantly, shows that the response rate which we saw there was a little bit lower was associated with an improved survival compared to non-responders which is a really key point as you evaluate the overall activity in the drug. We mentioned on our call and as well as today that in Part 2, we're seeing the same kind of -- actually statistically significant differences that the patients who respond with any response to selinexor have a clinically and statistically significant improved survival over the patients who do not respond indicating that responses associated with longer survival and also that there really isn't a good rescue therapy available for those who do not respond. We are -- given the fast-track designation, we are in ongoing discussions with FDA about planning our submission and we are strongly considering a fast-track -- the use of the fast-track rolling submission guidelines in order to facilitate the review of selinexor. We'll keep you posted.
Operator: Our next question is from Maury Raycroft with Jefferies. Your line is now open.
Maury Raycroft: Hi good morning. Thanks for taking my questions. To start for ASCO, it seems like you are going to have Phase 2 -- the Phase 2 liposarcoma SEAL data there. And I was wondering what we should expect as far as the details go. And if there's any possibility for HR to change or should we expect that that will hold up in the update?
Michael Kauffman: So, the data is ask for Phase 2 as they have been in the outside of the current results and that included a vast majority of the patients reaching their event of [Indiscernible]. So, no significant changes are expected based on this. And as you know we have moved into the Phase 3 and the Phase 3 is in rolling, so -- and this was based on the results [Indiscernible] you can see them in the ASCO [ph].
Maury Raycroft: Got it. And can you comment on whether there will be a presentation or poster?
Michael Kauffman: Public domain and I don't think we can comment. No, it's on the public domain margin.
Maury Raycroft: And then next was just based on the recent approval of Darzalex and frontline, I'm just wondering if you can provide thoughts or perspectives on how this could influence the current treatment paradigm? And if you have any expectations to fold a newly diagnosed sel-vera combo arm to the STOMP study?
Michael Kauffman: I will take it and then I'll turn it to Jatin. So, we're thrilled to see Darzalex moving up to frontline. We also thought this would happen. We also know that the Darzalex rev-dex combination is being evaluated in frontline and we anticipate that will also be successful. And it was part of the strategy here with the BOSTON study that we're doing that frontline would consist of a dara regiment along with Revlimid and that we would come in as a Velcade-based regimens sel-vel-dex is one of the -- potentially the most convened regimens. If this is successful with once-a-week dosing, a low rate of neuropathy at the Phase 1/2 hold up and really a nice regimen for patients who unfortunately after they progressed from frontline to second line therapy. And I'll just let -- I'll turn it over to Jatin in a minute, but the other point about data moving at frontline is that that it really opens up the penta-refractory population. This means that patients with two or three lines of therapy could very well meet criteria for penta-refractory disease as they get dara in early and earlier lines and in fact, people are using dara with Revlimid and Velcade in frontline. So, you can imagine that that second line to be a hard fill regimen and that third line could be a penta-refractory situation. So, we think that this is going to continue to push the penta-refractory population earlier and open up the number of patients with penta-refractory disease. I'll turn it to Jatin and add and then talk about the frontline strategy on our side.
Jatin Shah: So, base line, I fully, I think that's a good thing for patients getting access to dara as earlier and really positions us well the efficiency at Darzalex. In combination either with BNP with the approved indication now or in future with [Indiscernible]. So, I think it positions the combination for the Boston study well that second line therapy as well as for the current potential indication of penta-refractory study. So, I think that we're well-positioned with Darzalex moving on the frontline setting. And I think regarding your second question regarding newly diagnosed myeloma, so in our current STOMP study, we'll be looking at selinexor in newly diagnosed myeloma in combination with [Indiscernible] and so understand that there's still an appetite for all-oral combinations in newly diagnosed myeloma. We'll be exploring that combination in current STOMP study.
Operator: Our next question is from Jonathan Chang with Leerink Partners. Your line is now open.
Jonathan Chang: Thanks for taking my questions. Maybe first just where the SADAL study, can you talk about how you view the bar for approval in third line plus DLBCL?
Michael Kauffman: I'm sorry, can you repeat that? Yes. So, the bar for potential approval in SADAL, please remember that there are still currently no drugs that are actually approved for the treatment of the DLBCL since rituximab was approved for frontline combination with CHOP back in 2006. So, there's just other than CAR-T which is approved as a as a cell therapy for very specific patients who are transplant eligible, there's nothing available now for patients in third line. There's no approved second line, it was pretty standard-of-care for transplant eligible and ineligible patients. We believe the bar is a response rate in the 2025 to 25% or better and that the duration of response again should be about four to five months, much the way it is in the last line myeloma. And we think that the FDA -- and physicians and patients are interested in drugs that are also somewhat agnostic to the subtype. So, we've made sure that our SADAL study includes both GCB and ABC types of the DLBCL. And the interim data, I'll remind you that we presented last year [Indiscernible] showed a response rate of 33% and a duration of response of greater than seven months, we think those easily meet the bar and we think this could provide a really convenient oral option for patients who have refractory DLBCL and really no approved therapies.
Jonathan Chang: Thanks. And just one more question. How do you see CAR-T impacting [Indiscernible] line implication and the positioning [Indiscernible]? Thank you.
Jatin Shah: Great question. So, this is Jatin. So, we've already CAR-T cell, so as Michael mentioned CAR-T cell is really limited to a small subset of patients were transponder eligible. As you know these trials are highly selective and as you move into the commercial space, we've improved now for the last -- since the fall 2017. It's really movement for those -- track by eligible in younger patients is also at the major Academic Medical Centers that can support the CAR-T cell which is limited. So, it's really limited to the special centers and not really applicable for two things; one, for older patients, which the vast majority of large cell lymphoma. And number two, with vast majority of the patients out in the community and even if they are younger patients. So, I think that's where selinexor is well-positioned the oral therapy that can be give widely.
Operator: Our next question is from Eric Joseph with JPMorgan. Your line is now open.
Eric Joseph: Hey guys, congrats on all the progress and thanks for taking the questions. Just looking for EHA patient for whether you can provide us with an update around abstract position specifically for STORM as well follow-up presentations related to the STOMP combination?
Michael Kauffman: Sure. We've assembled the data, we're hopeful that we can have a late break for EHA. And it will really depend on what else was there. So, if we don't make it there, we'll certainly make it at the next the next meeting. We're excited about the data, you've heard the topline and the details will come out when they can.
Eric Joseph: Okay. So, -- I mean I guess with abstracts being released last week, we shouldn't expect abstracts from the STOMP combination?
Michael Kauffman: That's right. Yes, so, there are several STOMP abstracts that were submitted to EHA and so we'll hear about those soon.
Operator: Our next question is from Mike King with JMP Securities. Your line is now open.
Mike King: Hey, good morning guys. Thanks for taking my question. I'm asking on behalf of a couple of friends of mine. I just wanted to maybe follow-up on the rev-dex-sel, frontline indication, I'm just wondering if -- Michael, do you think about it -- or Jatin do you think about this as far as transplant eligible versus ineligible or is that definition not as clear cut anymore, because I'm thinking that maybe you could still go frontline with sel-rev-dex, but without Darzalex, just because there may be a population that doesn't want to -- or can't tolerate the IV infusion of Darzalex?
Michael Kauffman: Yes. So, to be clear. So, right now, we're looking at a combination of selinexor or rev-dex in newly diagnosed myeloma and it's a bit -- I think it's quite controversial when you look across globally in terms of when folks are using transplant. And so you can clearly go in the transplant in eligible population or even the delayed transplant. So, those questions who -- those patients who are still transplant eligible, some sets are still widely delayed approach as opposed to conduction therapy. So, I think that it can be for both situations, doesn't have to be limited to [Indiscernible], they can get it, get those cells collected into a delayed transplant. So, I think that that line is blurring a bit now as we think about diagnosed myeloma and how that is approaching.
Mike King: Okay. And then just on enrollment in both BOSTON and SADAL, are you -- have you guys achieved full enrollment in SADAL yet?
Michael Kauffman: All we said Mike is that we're hard topline data by the end of the year. We're comfortable with that.
Operator: Our next question is from Ying Huang with Bank of America. Your line is now open.
Ying Huang: Hey, it's [Indiscernible]. Thank you for taking our question. Just in terms of your commercial preparation, have you guys thought about the academic versus community settings? And how you would definitely approach each of those? And also beyond SVD, so the other STOMP indication that you bring into a pivotal trial or just you STOMP for like an FPLA after you're approved in penta-refractory? Thank you.
Michael Kauffman: Yes. Thanks. So, I'll start. For the approach in the academic versus the community setting, one of the great unique things about selinexor is it clearly has applicability in both settings. Obviously, the majority -- the vast majority of the STORM patients came from the academic setting. They were treated in academic centers and the fact that these centers are seeing this level of activity in patients who have exhausted available therapies, really sets us up nicely. But on the other hand, selinexor is very convenient, twice-a-week oral therapy, which makes it really uniquely suited for treatment in that community as well. So, we're very much looking forward to a two-pronged approach where we focus on selinexor's activity in a heavily, heavily pretreated patient with no real options in the academic center and for the ease-of-use situation in patients with penta-refractory myeloma out in the community who are perhaps less heavily pretreated, but still meet the criteria for penta-refractory disease. I think it's a great and a unique opportunity in this setting. On the question about whether we move any of our other STOMP combinations, those data will continue to mature. We're certainly excited about a lot of those combinations, the Darzalex combo, the Pomalyst combo. In particular, we'll be studying Kyprolis as well coming up -- obviously, Velcade has already started and the Revlimid combo is moving into frontline. So, lots of good stuff happening. We will pick -- likely pick one or more of these two to move towards a Phase 3. We may do that with a consortium and we'll have to think about it as the data emerge, but we really have a unique situation there where essentially every combination has shown some level of activity or frank synergy going forward.
Ying Huang: Got it, great. Thanks guys.
Operator: And I'm showing no further questions. I would now like to turn the call back to Michael Kauffman, CEO for any further remarks.
Michael Kauffman: Just take one more time and thank everybody for your great questions and we look forward to speaking with many of you in the coming weeks and to keeping you updated on our continued progress. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. You may now disconnect. Everyone, have a great day.